Holly Schoenfeldt: [ Audio Gap ] Obligation to update them in the future. 
 On Slide 5, I want to briefly hand it over to Frank Holmes to touch on the importance of understanding what we like to call the DNA of volatility before we dive into today's results. Frank? 
Frank Holmes: Thank you, Holly, and thank you, everyone, for participating and listening to this presentation, and most important is for your patience as we've journeyed through this past year. But before I get into some of the details, the financial details and product developments and new products, et cetera, I'd really like to remind investors because lots of legal words really don't explain the DNA of volatility. It's the math, and the math is what attracts people. If you're traders in the ecosystem or frightens you if you're a retired investor. 
 So what's important here is to recognize the S&P 500's daily volatility is 1%. That means approximately 70% of the time it's a nonevent that go up or down 1%. And interesting enough, gold bullion is sustained on a one-day basis. Over 10 days, gold is slightly more volatile, but then when we take a look at the Dow Jones Asset Managers, you can see that on a one day, they're very similar to gold bullion and the S&P 500. However, the Dow Jones U.S. Asset Managers Index over 10 days becomes more volatile.  
 Gold stocks are twice as volatile as the S&P 500, and they are also more than 2x over 10 days. The airlines are even greater, and that's just important to recognize because it's our biggest ETF and biggest source of pool of capital. But the -- we're looking at the New York Stock Exchange Arca Airline Index is a nonevent that go up or down 3% in the day and over 10 days 8%, especially with all the pandemic news and all the FUD we like the call that's out there create sentiment moves and swings. And then there's the price of oil. Price of oil is the biggest line item for the airlines industry. So the volatility of oil does show up and the volatility of oil is much greater than gold or the stock market, and it ends up showing up through the airlines themselves.  
 But interesting enough, Tesla is daily 3%. And Tesla used to be something more like 5% daily. But ever since becoming part of the S&P 500 on a daily basis, it's roughly -- its volatility has dropped dramatically. But over a 10-day period, you can see Tesla's volatility does expand greatly. And Bitcoin itself is also volatile. The fact that we have investments in airlines and gold, also in the HIVE Blockchain technology which is a proxy for Bitcoin mining and Ethereum, our volatility has also increased, even though our overall fund assets for the past 12 months have remained quite stable. Overall, we seem to move around with the direction if it's strong with gold or it's strong with Bitcoin and Ethereum.  
 What I hope in this presentation is to highlight just the hardcore strength of our operating cash flow from in particular ETFs and the other funds, which have remained quite stable.  
 The next presentation basically highlights of who we are. And as you can see, we like to characterize ourselves as an innovative investment manager. We're a registered investment adviser that was created out of -- the U.S. Air Force had an investment club and eventually grew so big that they become an asset management company and then it went public. And 31 years ago, I purchased control of U.S. Global Investors. And last year, I became a dual citizen. So it's a great year, 2021, for many reasons.  
 But experts in investing -- well, our expertise, no doubt is global. And gold is a global asset class, and that's led us into natural resources, the airlines, emerging markets and also crypto mining. So what's driving us? Well, a big part was the surging assets, in particular, the JETS airline ETF, gold had a great run. And for whatever reason, there seems to be misinformation regarding the price of gold because last year, the average price was actually higher than 2020. Last year was the highest average gold price, and this has been very beneficial for gold producers, and I'll talk about that later in the presentation. 
 And I am going to speak to you as the Chief Investment Officer in addition to the CEO of U.S. Global Investors in this presentation and deal with a lot of the products and the funds. And then I'll talk about the airline recovery and then HIVE Blockchain.  
 There's no doubt HIVE has created so much volatility and for different reasons, even though it's been a huge, wonderful investment for us as a company, it's created its own sort of greater volatility. But financially, it's been a very beneficial assets to -- when we take a look at our balance sheet and income statement.  
 I really want to -- the next visual is thank all those investors, in particular, The Royce Funds who've been very loyal, long-term investors and Perritt Capital Management and Bill Nasgovitz at Heartland Funds. There's just been great to small-cap specialists. And we do show up in Vanguard's indexes and BlackRock, but I really want to thank these investors and other hedge funds that have taken a 2% to 3% weighting in our company as a value proposition. And I've been in contact with several other sort of family offices that express an interest, in particular not -- interesting enough, not so much because of our crypto expertise but because of our gold expertise, which I find always interesting.  
 And here I am with my HODL gold shirt on. And I share with all of you, if I just write gold on that, and I go to a Spurs game, no one ever notices it. But the fact that I have a HODL, I have all these millennials want to give me a high five. They identify with "hold on for dear life," ignore the short-term volatility, buy for the long term. But that HODL acronym is really came out of Bitcoin, Bitcoin investors holding on for long term. 
 So I think an order from the Bitcoin crypto ecosystem, and I find it most fascinating how the millennial investor who has been very significant in addition to JETS explosive growth during COVID. But the fact that the millennials came into the capital markets and ignite a price discovery, which then brought in many other institutional investors.  
 GROW dividends increased by 150% in 2021. We did this for many reasons. Our financial strength improved dramatically by crystallizing the gain in HIVE and reinvesting in a unique convertible debenture, and it gave us lots of, I guess, cash flow ability to be able to maintain that. And our dividend yield is much higher than what banks are offering on CD deposits. So we're happy about that.  
 Let's talk about what we're doing. And one of the big parts is the share repurchase program in motion. The Board did approve the repurchase of the 2.75 million of our outstanding common stock in the open market for this year, this calendar year until December 2022. And for the quarter ended September 30 of '21, the company repurchased 13,647 of its Class A shares using comps of approximately 82,000. And we have to make this disclosure, we may suspend or discontinue at any time. 
 And this is something that in our Board meetings that we're thinking of, what do we do with this stock purchase buyback because we do believe we're so deeply undervalued. But stay tuned. We'll have other discussions at a Board level and come up with grounds or just looking at this year of what we do with this in these capital markets.  
 But here is a simple visual to show you, [ 505 ] as of January 7 close. $4 billion in assets, a 100% year-over-year increase for the September quarter, $6.5 million in revenue, which is 101% year-over-year increase. And net income of $2.4 million, which is a 23% year-over-year. And I think that, that's a really important number because that's basically operations from business, operations from running the ETFs, not from the value of our investments in our portfolio, from investment gains. 
 As Lisa has explained in previous presentations, we have 2 sources of earnings: one comes from our investments, the other one comes from operations. And so what we're really happy to share with you is that the operation is at $4 billion in assets, is pretty simple to calculate, and it remains quite stable. And so that's what's the key here is we show you on this visual, the increase in cash was due to the sale of 10 million shares of HIVE, which we reinvested in this unique convertible debenture. And so far, last year, we basically took back, as you can see at the September 30 quarter, we took back cash and redeemed that debenture. 
 The quarterly assets under management, as you can see at the end of September, has slightly dipped. And a lot has to do with the fears of -- or the percentage of people being vaccinated, the TSA data point that's being published now every day. And sentiment, sentiment is a big factor of moving assets around in the airlines industry. And we also saw that gold, gold has not performed interesting enough, as I mentioned, and I'm going to give you some more facts on it, that we're very clear about GOAU because it's 	done exactly what we thought it would do. And actually, gold prices on average, which is most important, is higher, not just taking the beginning of the year as a snapshot, the end of the year, but the average price realized throughout the year. 
 And this is a good visual showing you our assets for the 12 months. And you can see the visual is very similar to our operating revenue. What are we making from these assets? And the next visual is a very simple way of taking a look at it: 60 basis points $4 billion in assets is going to throw out $24 million in revenue. This is a simple line item. And I think that, that's important for investors, which I do know the more sophisticated funds out there are looking at our assets every day, calculating this and getting an idea of what our revenue is going to look like. 
 And here is a simple visual to show you that I believe that we're extremely undervalued. I do believe that the delays in the orders, getting our financials out on a timely basis has created some, what's the word, trepidation. But I'm trying to assure you as investors, it's pretty simple accounting to figure out what our financials are. And we're deeply undervalued when you look at price-to-earnings ratio or you look at return on assets. Our return on assets are much higher than WisdomTree, which is 100% ETFs; Invesco, which has a Q2Q ETF. So I think that there's more upside than there is downside in HIVE as a financial company. 
 The other thing that's interesting enough that's not in this presentation, but small-cap stocks as a whole have been really challenged this past year in the valuations that they've compressed along with the big tech stocks. And we've seen this also in our major investment in HIVE Blockchain, that these companies trade at very low multiples relative to, say, HIVE to NVIDIA or HIVE to Tesla. It's interesting to see this bifurcation in the capital markets, and that's what creates the opportunities. The things will always mean revert as long as you continue to show that you can maintain and grow revenue and have higher returns on that cash flow return on invested capital model. 
 But I'm going to jump to what's the airline investor ecosystem, and this is very important because it relates to all of our products. It relates to GROW. There are millennials out there, what are the attracted to? Sentiment indicators are very important to them. They are hedge funds. They go short one, stock is overvalued and long another one is undervalued. Then there's the value of GARP investors growth at a reasonable price. We also find in the airlines there's oil traders. We have found in the HIVE world of crypto, that there are hedge funds that go short, long Bitcoin, futures market ETF and then go along the inverse of this of trading the mining stocks. As I said, there's GARP investors, and there's the day trader. What's important is that the trader and the small investors are about price discovery and to really have a robust ecosystem via the ocean or in the capital markets, you need all of these players in the capital markets. And that creates an undervalued situation and it creates the flow of additional capital. 
 So our airline ETF continues to be a trading vehicle. We've seen record trading volume. Demand has remained strong for JETS even with all the new variants of the coronavirus. On December 6, 2021, the funds saw a new daily record in trading volume with more than 33 million shares, over $700 million traded that day. That was epic for us. 
 And not only that, and what we've done with JETS is to expand its footprint. It's listed in London, on the London Stock Exchange, which gives the expansion to the global markets into Europe. It's listed on the Mexican Stock Exchange and in Peru. We've come out with videos for education that are in other languages in addition to English, they're in Latin -- sorry, Spanish for the Latin community. It's been an important part of our overall branding to be unique with this sort of idea of taking just as the go-to way to play the airline industry. 
 Optimism is continuing on travel recovery despite the Omicron fears, continuing vaccine rollouts, business travel was resuming, the TS numbers were trending up until just recently with all these dysfunctional information that's coming out from different government agencies all over the world. I'm happy that I'm in Texas, the kids are in school. But in Chicago, well, they've locked them down, aggressive unions, New York's new Mayor, he pushes at the schools, the kids need to be in school. This affects business travel because what happens if the kids are not in school, they're at home, business travel gets harmed because of one parent cannot they need both parents at home for working. So it's really interesting to watch how this is unfolding. 
 This next visual is really important for you to recognize. The Delta surge, we saw a lot of people going to the hospital. With the Omicron surge, there's not been that many people going to the hospital. And it's much more contagious, but it's more like a 3-day flu unless you have other challenges: You're a diabetic, you have heart ailments, you've had cancer treatments. These other collateral health challenges really allow the Omicron surge to have a greater impact. The biggest thing that my doctors have told me, and I deal with a lot of doctors, is make sure you're taking that little, that baby aspirin is the biggest thing to make sure, no matter what. 
 And I think it's important for everyone to make sure they talk to the doctor, "What do you do with this stuff?" And there's more people being vaccinated -- not vaccinated, but there's more and more people being tested. So this shows up in the data points. And there is a propensity and a bias by the media to omit some of these other compelling facts. This impacts the sentiment of the airlines. 
 But what's really important is this next visual, is 2020 was just devastating that the world lost $137 billion, it was estimated. And then in 2021, it's $51 billion. It's estimated at 2022, unless we get numbers up quickly by March, April that the industry could lose close to $12 billion. I believe that the U.S. is going to show great leadership in getting people back and traveling. And I think that, that's going to be important for global travel. Just like how fast the U.S. stopped people flying from South Africa, then they thought, "Oh, that it's not as devastating." Then they opened up the entry points. So I just hope that it maintains. And I think that we get JETS back to where it was pre-COVID, we're talking about the low 30s in the stock price, we're talking about a multibillion-dollar product. And being listed globally, I think it has lots of upside potential as an asset class for U.S. Global. 
 And what you're also seeing here, the COVID effect, another visual. And I've tried to highlight because it's important for you to follow the airlines industry because it is our largest product right now. And these are data points to show you that the impact it has on travel, but a lot of this short term. And if you studied history and you look at the Spanish Flu, there was basically 5 ways, 4 major each peak was lower. And it just takes 4 years. But the media is going to hold on to every negative narrative. And I think we have to have strong leadership in government officials trying to show what are the best way to manage this. Clearly, those that get vaccinated have -- are very, very healthy, have the lowest incidents of showing up in a hospital. And that's what's important. 
 But what's also important in what we've seen is the rotation of airports, what are the most prominent airports. And you can see that China picked up in 2020 from 2019. A lot of it was for business cargo, shipping cargo. And the busiest airport in America became anchorage. Now in 2021, there's a rotation of one of the busiest airports. This data point will come out this quarter, and we'll see rotations. So just like stocks from value to growth, the momentum, they go into rotations, so do airports. 
 But JETS owns airports.  And the airports in many emerging countries are public, and many of them are listed on the New York Stock Exchange. So they are interesting asset classes and they are priced more like private equity. So that's one reason why I tried to give you this knowledge about looking at airports and getting this knowledge because it is an important part of the JETS ETF. It's sprinkled, 50 basis points, and we have many of them. And many of them have the ability to contract during COVID and then expand as the airport activity picks up. And you've seen that in especially Mexico. These airports open up dramatically. So there's much more upside in airports in Asia, the Gulf, France is public, so we can look and monitor the air traffic flow that relates to the sentiment. 
 But let's jump away from airlines, and I think I've given you enough as the Chief Investment Officer. I remain very bullish on this industry. If you're a trader, it has all the right ingredients of volatility. If you're a long-term GARP investor and believe that the vaccination is going to improve -- and by the way, how fast America executed getting these vaccines out is unprecedented. And it's interesting that the previous administration used information from Citadel Capital that went out and showed this leadership and showed them how they had to fund early these developments to basically fast track to the FDA process. And America did show this leadership, and had it not, then it could have been quite devastating the amount of death around the world. And we're not getting credit for it. The leadership on vaccines have saved tens of millions of lives globally. And I think that this is important. 
 Now we're going to jump over to the world of gold.  In this process of dealing with COVID, the G7 countries and the G20, we know the G7 collectively have spent something like $20 trillion. And that is all the ammunition that is out there for the world of gold of the unprecedented money printing, and the same thing with the Bitcoin hoarders around the world. That gold, like Bitcoin, is a decentralized asset class, and it's an important independent of Central Bank's asset class globally. And what to me is most fascinating is that as the world and the G20 Finance Minister starting the year 2000 started embracing this MMT, Modern Monetary Theory, of money printing to get us through every economic global crisis. 
 Gold has become a unique asset class and has far outperformed the S&P 2000 -- since 2000. I mean, it shocks people. It's outperformed by over 200%. And this is maybe why Ray Dalio, the largest hedge fund manager of the world, who advocates also a 10% weighting in gold, has used gold as part of his parity trade. So we believe that gold remains very relevant, and we believe there's lots of FUD that gold is such a bad asset class last year. When we take a look at gold, its average price, average price this past 21 years has been up 86% of the time. That's a heck of a batting average. And this is highly correlated to MMT. And also interesting enough is that last year was a record average price, and that's why many of the gold producers that we look at 100 global gold producers for our gold funds, and in that universe, 61% had free cash flow. And in fact, gold stocks trade cheaper than the S&P 500. It's incredible. 
 And the coronavirus or any virus doesn't live on gold or silver. And so I find it just shocking how there's all this negative that -- from the January 1 to December 31, 2021, gold was down. But in fact, on the average price, it was higher and gold mining companies are having record profits. So I think that gold is one of those sterling asset classes that even with the threat of rates rising this year, I don't believe it's a big risk. Because if they really was, then the Fed funds rate would have to go to 7%. But that would be unconscionable in election year. That would basically crush the mortgage market, which would crush the real estate market and crush every other industry in America. So I think we're going to live with negative interest rates. And I think that this MMT is going to continue and the great undervalued asset class is gold. And I think that gold is going to shine and shock a lot of people this year. 
 But even during COVID, we launched another product. [ Define ] being different, being unique, just like when we launched HIVE. We couldn't launch a crypto company ETF, and no one to date has actually been able to launch a cash investment into Bitcoin ETF. It's not happened. And so we're very proud that we pivoted over 4 years ago to create the first crypto mining company in the world. 
 And something else we did during the crisis is we converted our funds into luxury. Why? Because with all of our regressional work in studies, we noticed that luxury goods outperformed. And they come back, they're just more resilient. And I remember trying to explain this to directors and trustees. And why we know luxury is because of our expertise in gold. What is the biggest demand driver for gold is love. It's jewelry. Why do Indian women protect their endowment, and they also wear their endowment. Basically, women in India wear 6x amount of gold that's in Fort Knox. So we became during this journey of learning about gold experts on luxury goods. 
 And interesting enough, since the crisis, luxury goods are far outperforming S&P 500. And what shows up in that? Well, it's good enough. So does Tesla and Ferrari. And you have Christian Dior, you have LVMH. You have the richest man in Europe is who? The CEO of LVMH.  You have Hermes, you have Mercedes. You can go on with a list of these companies. You don't have Walmart, but you have Costco. You don't have Nokia. You don't have Samsung telephones, but you have much more expensive model is Apple. Apple is a luxury goods. It's a $3 trillion market cap. Apple, these are expensive phones, much more expensive than the Android. 
 So I think what we've tried to do is let you know that our expertise of gold, knowing what the supply, demand factors allow us to come out with luxury goods, mutual fund, it's the only mutual fund that's there. It's done exactly what we thought it would do. It's outperformed the S&P 500, and we're very proud of that. 
 Well, with that, what's the new product? And I sort of kicked myself and it took us so busy with the building of HIVE as also a major investment for us is missed that opportunity in creating an ETF and for blockchain companies that other people have. But I did notice with a movement of equipment, and I did notice about JETS ETF that cargo is going to continue to be a secular bull market, and there's many reasons for that. 
 So we launched SEA, S-E-A. That used to be an ETF. It had over $130 million at close rate at the very bottom when the cargo shipping world had changed. And I believe that cargo shipping, and I believe shipping also coal or iron ore or liquid natural gas, airlines are all going to see tremendous pricing power. It's not just short term. It's going to be with us for a while. We expect this to go live in the next couple of weeks. And we've done a lot of homework on this, and it fits into our whole thesis of understanding global resources, global travel. And so with that, we're very thrilled about it. 
 Now I want to end with HIVE for the results from the shareholder meeting and corporate update. All the director nominees were duly elected and reelected HIVE Board of Directors. Everything has come through. Auditors come through, stock option, everything we ask for, they're very thrilled. We also had record profits. They ended the quarter of September. HIVE made $50 million with 20 employees, and we have a great growth of footprint out for this year. So we're really thrilled about that. And we strategically are long HIVE and we're thrilled about that investment. 
 Now I want to turn it over to Lisa Callicotte, truly our champion, hard-working CFO. 
Lisa Callicotte: Thank you, Frank. Good morning. First, I'll start with our financial highlights. We had another strong quarter. Our quarterly average assets under management and operating revenues increased approximately 100% at the same quarter last year. And our quarterly income increased approximately $446,000 versus our first quarter for fiscal year 2021 to $2.4 million or approximately 23%. 
 Now I'll review more details of the results of our operations for the quarter ending September 30, 2021. Beginning on Slide 35, we recorded total operating revenues of $6.5 million for the quarter, which is an increase of $3.3 million or 100% from the $3.2 million in the same quarter last year. The increase is primarily due to an increase in average assets under management related to our smart beta JETS ETF. As you can see, operating expenses only increased 58%, mainly due to higher ETF fund expenses and higher bonuses related to company performance. 
 On Slide 36, we see our operating income for the quarter September 30, 2021 is $2.9 million compared to $937,000 for the same quarter last year. Other income for the quarter was $37,000, a decrease of about $1 million, mainly related to unrealized investment losses in the current quarter versus unrealized gains on investments for the quarter ending September 30, 2020. And as expected, tax expense increased. Net income after taxes for the quarter was $2.4 million or $0.16 per share which is an increase of $446,000 compared to net income of $1.9 million or $0.13 per share for the same quarter in fiscal year 2021. 
 Moving on to Page 38. We see we have a strong balance sheet, includes high levels of cash and investments. 
 And Slide 39, note our liabilities decreased from June 30, 2021 by approximately $2 million. 
 And on Slide 41, you can see our stockholders' equity detail. The company has a net working capital of $26.7 million, an increase of $5.1 million or 24% since June 2021. And it has a current ratio of 7.5:1. 
 With that, I'll turn it over to Holly. 
Holly Schoenfeldt: Thank you, Lisa. As you can see, beginning on Slide 41, a majority of our mutual fund assets are in emerging markets and natural resources, while 29% are in domestic equities and fixed income. And as for distribution, more than 3/4 of assets come from retail investors with 17% coming from institutional investors. 
 Moving on to Slide 42. This shows a quick synopsis of some of our most popular content during the year 2021. Based on our own data analytics, readers of both the Investor Alert newsletter and the Frank Talk blog continued to be interested in stories on gold and precious metals, natural resources and emerging markets. But there was also interest in macroeconomic topics, primarily inflation along with cryptocurrencies. We actually did a recent wrap-up of all of these top stories for the year where you can find -- and you can find that on our website, usfunds.com. 
 Moving on to the next slide. You will see 2 of the popular industry magazines that Frank Holmes was featured on in 2021 as the cover story: Real Assets Advisers and Executive Global Magazine. Both are available online as well as in print, and I do encourage you to check those out if you haven't already done so. They do a wonderful profile of Frank's experience in the market as well as its impact on the crypto industry. 
 Moving on to the next slide. I'm happy to share that our marketing team added another star award to its lineup from the Investment Management Education Alliance. This year, we were recognized for our YouTube videos. All of our video content is produced right here in-house from the topic ideas to the scripts to the voice-overs, the animation and production, and lastly, the marketing of these videos. So I'm very proud of our team for that. And by subscribing to our YouTube channel, you will get notifications each time we have a new video up. 
 On the next slide. Don't forget that we share a majority of our educational content, just like the videos I mentioned. We share announcements about our upcoming events where Frank might be a speaker at as well as our press releases across all of our social media platform. So be sure to check those out when you get a chance, if you aren't already doing so. 
 And then moving on to the final slide today. And as we wrap up our presentation, I do want to invite anyone listening to submit the questions -- additional questions you have to info@usfunds.com. 
 I also want to hand it back over to Frank Holmes briefly for any closing comments today. Frank? 
Frank Holmes: Thank you, Holly. And yes, congrats on the great marketing recognition. I'd also point out that the retail institutional relates to our mutual funds, I think the ETF of JETS and GOAU has a higher institutional and family office and boutique hedge funds as an overall composition. 
 So I don't know, I almost created a third tier in that when you look at the overall assets. We've given on previous presentations showing you the significance of Robinhood retail igniting that price discovery. But that attracted much bigger fund flows. And we noticed the amount of creates we get, the sheer size of them. And some days, we can get 50 creates in a day to 100 creates in JETS. So what we see -- and when there's a redemption, they're actually in trickling out, which is really fascinating for us. So we feel that it's much more of an institutional weighting. 
 But thank you so much, Lisa, and thank you, Holly, and everyone else for listening to our presentation and participating, and thank you for being loyal shareholders. 
Holly Schoenfeldt: Thanks, Frank, and thank you, everyone, for your participation today. This concludes today's webcast.